Operator: Good morning, ladies and gentlemen, and welcome to the Stingray Group Inc's. Q3 2025 Results Conference Call. [Operator Instructions] Also note that the call is recorded on Wednesday, February 5, 2025. And I would like to turn the conference over to Mathieu Peloquin. Please go ahead.
Mathieu Peloquin: Good morning, everyone, and thank you for joining us for Stingray's conference call for its third quarter ended December 31, 2024. Today, Eric Boyko, President and Chief Executive Officer and Co-Founder; and Jean-Pierre Trahan, Chief Financial Officer, will be presenting Stingray's operational and financial highlights. Our press release reporting Stingray's third quarter results for fiscal 2025 was issued yesterday after the market closed. Our press release, MD&A and financial statements for the quarter are available on our investor website at stingray.com and on SEDAR+. I will now provide you with the customary caution that today's discussion of the corporation's performance and its future prospects may include forward-looking statements. The corporation's future operations and performance are subject to risks and uncertainties, and actual results may differ materially. These risks and uncertainties include, but are not limited to, the risk factors identified in Stingray's annual information form dated June 4, 2024, which is available on SEDAR+. The corporation specifically disclaims any intention or obligation to update these forward-looking statements, whether as a result of new information, future events or otherwise, except as may be required by applicable law. Accordingly, you are advised not to place undue reliance on such forward-looking statements. Also, please be reminded that some of the financial measures discussed over the course of this conference call are non-IFRS. Refer to Stingray's MD&A for a complete definition and reconciliation of such measures to IFRS financial measures. Finally, let me remind you that all amounts on this call are expressed in Canadian dollars unless otherwise indicated. With that, let me turn the call over to Eric.
Eric Boyko: Good morning, everyone, and welcome to our third quarter results conference call. Stingray continued to exceed the expectations in the third quarter of fiscal 2025. I think it's going to be 6 quarter in a row with a strong adjusted EBITDA of $42.1 million and reached unprecedented revenues of $108 million. These outstanding financial results were primarily driven by ongoing strength in our FAST channel business in the Stingray business unit and our SVOD. . Focusing on our Connected TV offering or FAST, we've established a strong partnership with major TV manufacturers like LG, Vizio and Samsung. Notably, Samsung's latest product, Samsung TV Karaoke, powered by the Stingray Karaoke app won 2025 CES Innovation Award in the content and entertainment category. Samsung TV Karaoke offers a cost-effective Karaoke solution by allowing users to sing into their mobile devices. The Stingray app uses AI and vocal suppression technology to convert any song into an instrumental track mixing the singer's voice with sound effects through the TV speakers. This award underscores our dedication to advancing entertainment technology. Our collaboration with Samsung has created a unique Karaoke experience that connects people and their homes. In addition, we recently made the acquisition of Loupe Art, a small FAST channel and leading visual streaming service on smart TVs and digital signage. This is a strategic acquisition. It enables Stingray to expand its presence on connected TVs and significantly enhance an offering for businesses, think about all the banks particularly in the digital signage space. Loupe Art's platform includes over 10,000 original art works from more than 800 artists across 50 countries. Back to our third quarter results, robust FAST channels revenue contribution, higher equipment and installation sales related to digital signage and improved radio revenues, I'd say probably incredible radio revenues were the primary drivers behind a 7.9% revenue growth year-over-year. These factors were partly offset by lower sales in our retail media advertising segment driven by some of the large orders that we had last year in quarter 2024. Looking ahead, we intend to enhance the monetization of our audio retail media network, which boosts more than 30,000 locations across North America, by optimizing pricing and measurable data, adding sales staff and channels to improve the sellout rate of our current inventory, maximizing the number of ads per hour for retailers and expanding our footprint. We also have created a complementary revenue stream by deploying in-store video advertising across 600 metro banners in the province of Quebec via additional deployments at affiliates, Jean Coutu and Brunet drug stores planned for the upcoming year. Digital equipment installation at Metro grocery stores and related pharmacies, along with ongoing signage deployment at BMO Bank Communications and other banks are expected to further boost revenue for our in-store advertising platform. Consequently, retail media advertising remains a key growth vector for Stingray in 2025 and beyond. On the in-car entertainment front, we delivered incremental sales growth in the third quarter with Stingray's Karaoke 100,000 songs, catalog increasingly becoming the Depot value-added service for connected cars on a global basis. I've got good news and bad news. I think every car in the world will have Karaoke. So I think your families will be happy, but maybe not the parents. Finally, in partnership with BYD and the Singing Machine, we also announced the launch of a multi-featured microphone for the automobile manufacturers fleet of the new energy vehicles fully compatible with the updated Karaoke application. Altogether, revenue from our broadcasting and commercial music business increased 10% to $72.2 million in the third quarter of 2025, while radio revenue supported by strong digital sales and retail media rose 4% to $36 million. Finally, I'm pleased to report that we have recently secured an additional $80 million in financing from our banking syndicate to pursue group growth opportunities. The refinancing consists of a $500 million revolving credit facility maturing in December 28. This new borrowing agreement provides additional liquidity for working capital and most important, greater flexibility to explore strategic acquisitions. I will now turn the call to our friend, Jean-Pierre, for our financial review. JP?
Jean-Pierre Trahan: Good morning, everyone. Revenues reached $108.2 million in the third quarter of fiscal '25, up 7.9% from $100.3 million in Q3 '24. The year-over-year growth was mainly driven by increases in FAST channel revenues, higher equipment and installation sales related to digital signage and greater radio revenues. These factors were partially offset by lower retail media advertising sales driven by a onetime large order in the third quarter of '24. Revenues in Canada rose 6.2% to $54.2 million in the third quarter of '25. The growth reflects enhanced equipment and installation sales related to digital signage and improved radio revenues. Revenues in the U.S. grew 14.1% to $42.3 million in Q3 '25 on the strength of higher FAST channel revenues, partially offset by lower retail media advertising sales following a substantial onetime order in the third quarter of '24. Finally, revenues in other countries decreased 3.7% year-over-year to $11.7 million in the most recent quarter. The decline was mainly due to reduced subscription revenues. Looking at our results by business segment. Broadcasting and Commercial Music revenues increased 10% to $72.2 million in the third quarter of '25. The growth was primarily due to higher FAST channel revenues and greater equipment and installation sales related to digital signage, balanced by a decrease in retail media advertising sales, partially due to a significant onetime order in '24. Radio revenues, meanwhile, improved 4% year-over-year to $36 million in '25 on the higher digital advertising sales, partly offset by lower national airtime revenues. On the digital side, we benefit from increased gambling advertisement year-over-year, along with ads related to hospital and clinics, auto dealers and new homes builders. In terms of profitability, consolidated adjusted EBITDA grew 9% to $42.1 million in the third quarter of '25 from $38.6 million in Q3 '24. Adjusted EBITDA margin reached 38.9% in Q3 '25 compared to 38.5% in the same period of '24. The year-over-year increase in adjusted EBITDA and adjusted EBITDA margin can be attributed to higher revenues as variable expenses remained relatively stable year-over-year. By business segment, Broadcasting and Commercial Music adjusted EBITDA decreased 13.1% to $31.6 million in the third quarter of '25. The growth was largely driven by improved gross margin on higher revenues. For adjusted EBITDA for our Radio segment rose 1.7% year-over-year to $12.5 million in the third quarter of '25. Primarily, the improvement in adjusted EBITDA can be attributed to higher revenues. In terms of corporate adjusted EBITDA, it amounted to a negative $2 million in the third quarter of '25 compared to a negative $1.6 million in the same period of '24. Stingray reported net income of $15.7 million or $0.23 per share in the third quarter of '25 compared to $9.1 million or $0.13 per share in Q3 '24. The increase was mainly due to higher operating results and a lower unrealized loss on derivative financial instruments. Adjusted net income totaled $23.4 million or $0.34 per share in Q3 '25 compared to $15.5 million or $0.27 per share in the same period of '24. The increase can primarily be attributed to higher operating results. Turning to liquidity and capital resources. Cash flow from operating activities reached $35.4 million in the third quarter of '25 compared to $30.9 million in Q3 '24. Lower net change in noncash operating items and higher operating results were primarily responsible for the year-over-year improvement. These factors were partially offset by a nonrecurring recovery of income tax in 2024. Adjusted free cash flow amounted to $28.6 million in Q3 '25 compared to $32.1 million in the same period of '24. The decrease was mainly due to nonrecurring recovery of income taxes in the comparable period of '24, partially offset by higher operating results. From a balance sheet standpoint, Stingray had cash and cash equivalent of $19.3 million at the end of the third quarter and a credit facility of $270.8 million, of which $127.2 million was available. As Eric mentioned earlier, we successfully completed a refinancing agreement last December through a $500 million revolving credit facility that mature in December '28. Total net debt at quarter end stood at $251.6 million or 2.54x pro forma adjusted EBITDA. As a result, we remain on track to lower our leverage ratio between 2x and 2.5x by the end of the fiscal year. Finally, we made a dividend payment of $5.1 million in the third quarter and repurchased 271,000 shares for a total of $2 million under our normal course issuer bid. After 9 months into fiscal '25, dividend payment totaled $15.4 million, while share buybacks amounted to $6.9 million. We intend to maintain a balance between investing in growth opportunities and rewarding our shareholders with healthy dividends and share buybacks. I will now turn the call back to Eric.
Eric Boyko: Okay. I think we have great numbers, great quarter. Excited to have our partners. The analysts give us their questions. This ends our call for the questions here. I think, Madam, if you have a chance.
Operator: [Operator Instructions] First, we will hear from Adam Shine at National Bank Financial.
Adam Shine: Eric, a year ago on this call, you talked about FAST channels revenue getting maybe up to a $24 million, $28 million range for F '25. Can you speak to where you might be tracking at this point with 2 months to go in the fiscal year? And any additional color in terms of ongoing momentum into fiscal '26? And then I'll circle back with one more question on Retail Media.
Eric Boyko: Yes. Thanks, Adam. Good question. The FAST channels, we were at a meeting in October, and we had about 7 or 8 partners that was in Toronto. And I was sitting with all of our partners of Roku, LG, Samsung, Pluto and how you see the business. In general, the market for FAST is growing by 20% to 40% and some even from 40% to 60%. So we're lucky to be on a lake, the lake is increasing. So at the end of the day, we're getting $70 billion of ads that was going on ABC, NBC and CBS in the U.S. are switching to the FAST channels with the cup cutting. So we're very -- the FAST are growing better than our budget, faster. And I think for you, some of the inclination is the number of channels that we've launched all over our partners. With Samsung now we're over with 32 channels, LG, 24. Vizio, we're up to about 16. Also, we've launched new channels, Stargaze, we've launched Cozy CafÃ©, our channel that we created last year. Naturescape did very well during the vacation for sure. It's all about Holidayscapes. So we have new channels, more launches, new platform, Roku, Pluto, I [indiscernible] list there. We probably have 20, 30 platforms. So it's really -- it's going to be -- this momentum is good for the next 3, 4 years. And I think that the TV manufacturers and those platforms are really leveraging the strength of the hours that are being listened to. So yes, I think we're comfortable. To answer your question, Adam, that was $24 million budget.
Adam Shine: And if I combine that a little bit with retail media. I mean, obviously, as you and JP alluded to, it was a tough comp in retail media. But for the last 2 quarters, you've signed up additional mandates and you've talked about a step-up opportunity in growth through the H2 and especially '26. Can you talk a little bit more about how we should think about the potential of growth? Forget about the sort of evangelizing sector, but just in terms of what you see ahead of you in terms of contracted revenues. Can you talk about stepped-up growth for retail media either specifically or maybe as you've done before in combination retail media and FAST channel, what you think the growth profile might be over coming quarters?
Eric Boyko: Yes. So again, the retail media and FAST, we said last year, we're going to grow by 40%. We grew by 50%. Again, this year, we said we're going to grow by 40%. So we're comfortable this year to grow that segment, the advertising sale in broadcasting by another 40%. So we're on track for that. Retail Media, our inventory in Canada is north of $100 million. Our retail in the U.S. is USD 600 million to USD 800 million. So it's not the inventory, it's really for us to leverage that market. I think -- so we're very positive that that's our growth story for the next 3, 4 years. Last quarter was an incredible quarter. I think they grew by 86%. So it's tough to grow when last year, we were up 86%. So we knew last year, we go, wow, this is a great quarter. It's going to be tough to do next year. But still, if you look at the advertising revenue line, even with that, we're still able to grow by 15.6%. So very confident. And for us, the next step with Retail Media, Adam, is going to be for sure, more salespeople, data monetization, but it's also to start partnering with some key partners like Odyssey, our friends at iHeart, AdsWizz [indiscernible]. So we're really partnering with them to help us -- also help us sell national ads on the audio side. So it's going to be interesting. Everything is getting to be connected. So -- and believe it or not, but there seems to be an over demand for audio ads, but they need the unique users. So they need -- they're ready to share because they need more people to listen to audio. So I think we're in a good position for Retail Media in '26 and '27.
Operator: Next question will be from Aravinda Galappatthige at Canaccord Genuity.
Aravinda Galappatthige: I'll just start off with a follow-up to your comments, Eric, that you just made about the size of the retail media market in the U.S., the $600 million to $800 million, can you just let me know what that encompasses? Is that -- are you talking just audio? Is video included in that? Is that a sort of an industry level contraction? I just wanted a little bit of clarity on that.
Eric Boyko: That would be if we had the 2 great vectors of a fill rate of above 80% and much higher CPMs, 4x higher CPMs that we're able to achieve right now. So I won't give specific numbers. But once you add the CPM and the fill rate, our inventory is very large. So it's -- for us, it's a great market that we already have. We don't need to get new customers. We don't need new retailers. Just with the ones we have right now in Canada and the U.S, that's our potential. And it's our #1 objective to sell that inventory like we do in radio. In radio, we sell 100%. So that's the efficiency of radio. But one of our strategies, you see it again. The reason that radio did well is we're leveraging the sales team of radio to sell retail media. So -- and that's the same thing we want to do in the U.S. with some radio players. So I think it's going to be interesting how we start becoming a leader in audio ads, which is a very niche market. So yes, I think that's a bit of our...
Aravinda Galappatthige: That's very helpful. And then on the rollout of video for retail media, you've given some color on the call. Can you talk about the prospects of getting that across to the U.S.? Is there even a discussion there at that point about deploying video in your locations there?
Eric Boyko: That's interesting. So this came to us a bit by surprise because they're selling -- if you're selling audio, why don't you sell video. So we're getting much more demand for video. Also banks want to go in that space, very surprised. So you'll see it probably in the future. In the U.S., we're getting help from our partners. So our main 2 partners on the TV side is we sell Samsung TVs and we sell LG TVs. And both partners, which have installation in the U.S. are asking us if we can help them monetize video also not only audio. So interesting vector that started this year. I must say it was a bit of a -- we were really focused on audio. But I think that what people are looking for is somebody to sell both retail media, which includes audio and video. And we've done a great feature, which we call do a takeover and maybe it's not the right word right now with the U.S. politics. But we're in the store, if you do an ad, all the TV sets go to that ad. And at the same time, the audio goes to the same ad. So you take over the store. So it's a feature that we're able to do. And I must say there's a lot of demand for that type of ad because it is -- you really -- for sure, everybody in the store at that moment knows that this ad is coming in. So interesting to see what happens with video. And we're doing our budget right now, it's going to be interesting what the team post for video.
Aravinda Galappatthige: And the last question for me. On the in-car side, we know that from a revenue generation perspective, it's just the 2 OEMs right now, Tesla and BYD. But can you maybe just give us a sense of what is coming up next based on the trials? I know that there are a number of OEMs that are kind of trialing the product. From a turn on the pay perspective, sort of what's next? Maybe just some kind of color on what we can expect there.
Eric Boyko: Yes. For us, the car market, when I was in school and business and we said, let's create a product, we said we can create a product for cars you make a lot of money even if you do one wiper because you sell all the wipers around the world. So -- but the car is long projects, a lot of our projects are '24, '26 to '38, 2038. And I must say we came back CES. We met the top 30 car manufacturers. 3 of the booths of the cars, the feature product when you came into their large booth at CES was karaoke with Stingray. So very -- moving well. Our key products that we're installing in cars is karaoke, which I know you say, how can it be so popular. But I think karaoke will become -- will be table stakes. Everybody will have karaoke in their car and I hope we're one of the major players of karaoke worldwide. And music, they really want -- they want to be able to monetize music. For all these years, there was XM Sirius and AM/FM using cars had to pay for those chips, and they weren't making money. And now the car -- the OEMs say, we want to make money with our media in the car. They want to control that. So very exciting for us to become the music partner. I think you'll see a couple of announcements. We've got 3 or 4 car companies that are going to be launched in the next few months. Karaoke, that's moving along. But again, the only negative if you start -- some of the car companies will be able to switch 50 million cars overnight because they can change their system. But a lot of them is you start with 1,000 cars and you grow and you grow. But it's really a new EV, and we have to wait for the growth of that segment, but they're getting better and better at, I would say, retrofitting their system and going to the cars before. So very excited. '26, we'll see some good revenues, but for '27 will be the year that will make a big impact on our numbers.
Operator: Next question will be from Drew McReynolds at RBC.
Drew McReynolds: Just turning back to Retail Media in the tough comp last year. Eric, like in terms of the onetime order or orders, is that just essentially onetime revenue on large contracts that after you had recurring revenue, but obviously lower than kind of the upfront? I'm just trying to understand kind of the dynamics there.
Eric Boyko: Yes. Last year, we had -- we were very happy. We were having a great quarter, a good quarter. And then on November 20, one customer said, well, we have whatever extra budget, then we'll give you this order for December. And so we were very, very happy. We -- again -- but those budget things don't happen every year. So we -- again, if you look at advertising, we did $60 million this year. We're confident to grow by 40%. So that means you're looking at a $24 million growth in the FAST and retail media. Both sectors, FAST and retail media are growing, both in Canada and the U.S. But last year, we were up 86%, tough, very tough, Drew, to -- when you're up 86% to grow by another 40%. So that's why we're up 15.6%. So it's very focused, and it's -- like I said, it's not only getting more salespeople, but getting new partners to sell the audio space. So a growth vector for us for the next 3 years.
Drew McReynolds: Yes. And then on top of that, what are you seeing in that channel with respect to engagement? Obviously, you're trying to measure it and transparently show that for advertisers. How is the engagement? And are you able to see incremental engagement of video over audio in the retail media channel?
Eric Boyko: Very good question, and we'll do this for the analysts. We've probably done, I'd say, close to 50 market research with different tests and different products. So I'll see which one we can share with you. But the results have been very good. I'm very happy to share those research, and I'll share that with all the analysts, the ones that I think we can, but there's at least 20. So for sure, there's a big return on investment when you do audio ads with video even stronger. The biggest issue right now is, again, getting the retailers to agree with the endemic, non-endemic, agree with the ads. So it's -- the retailers have to get used to -- sometimes we'll bring -- we'll bring some great campaigns. They'll say, we're not sure about this campaign. So there's -- we have to eventualize the advertisers, and we have to eventualize the retailers on both sides. So -- but that's our job, and that's why we're right now the #1 audio retail media player in the world. And our goal is to keep growing this segment. We're very unique. So...
Drew McReynolds: Okay. That makes sense. Yes, that would be great whatever you can share, that would be fantastic. Last question for me.
Eric Boyko: Because I don't give you numbers that I'm not sure. I don't -- but it's more marketing. So I'll just give you the research because I think you can give the exact number instead of me trying to figure a number out for you.
Drew McReynolds: Understood. Okay. Great. And last one for me on the radio side, just kind of wow relative to the rest of the industry, what you're able to accomplish. So it seems as if tying into kind of the retail media piece, you get larger local market share. And then you talk about digital advertising also growing kind of double digits. Just talk to the sustainability of kind of positive growth in radio. Obviously, can outperform the rest of the industry just based on your playbook. But what do you see in terms of growth in Q4 but more broadly for fiscal 2026?
Eric Boyko: Drew, again, we were very proud of the radio team. And also, we did -- as you know, Steve is our new President. Ian became more of the Chairman. So very happy with the new team and Steve and what he's doing. So radio, I said at the start of the year that we'll grow 2% to 4%. I think that both my CFO and [indiscernible] were kicking me under the table because, again, we gain market share that helps us. Secondly, our digital presence is strong. We're also selling on CTVs, and we're also selling on some audio products. And third of all, which is important, the retail media side sales that we do from the radio team goes on the radio income statement. So for sure, the radio team is getting much better. So we'll say to somebody in Ottawa, do a $50,000 order campaign for -- on the radio and do another $25,000 order campaign for the stores in your area. And that's slowly from the wheels to the aisles, that's slowly kicking in. We have over 100 reps across the country. So it's to -- and we're also giving them budget. So I think that just on the retail media side, that growth could be good for the next 3, 4, 5 years. So excited that we're finally getting leverage from radio and Stingray broadcasting. And maybe we can -- maybe you guys can upsell the EBITDA ratio of radio, I take it from 5 to 8. Maybe that would be a good idea, multiple there.
Drew McReynolds: All right. We'll have to think about that one. But I'll see your report today, and I'll see if you brought them out up a bit.
Eric Boyko: Yes. And I agree. The other point is that if you look at our peers, as you know, our peers were minus 14%. And so the market -- our peers were minus 14%, and we're plus 4%. So there is a disconnect. And -- but we see the trends going forward. This quarter also very strong. January, February, March, very, very strong again. So we'll be positive numbers again because of those factors and can't predict 2026 with tariffs and if there's a recession, but if there's no recession, we see growth because of digital and retail media.
Operator: Next question will be from Jerome Dubreuil at Desjardins.
Jerome Dubreuil: I just want to jump on one of your comments that you've made in answer to Adam's question with regards to FAST. Eric, you said that the momentum for growth in FAST in general is good for the next 3 to 4 years. I mean when we speak to investors, they definitely see that growth is very good right now, but some -- this new market, and they're not sure what's going to be going on going forward. What are the tells? What is telling you that this momentum is going to be good for as long as you said?
Eric Boyko: Yes. So it's -- so one of the things on the FAST channels, our 2 strong segments is we have ambiance channel. Ambient, meaning we started with the fire play and then it's Naturescape, then we have Holidayscape. And now we just launched Cozy CafÃ©. So it's nice cafe with nice music. So every channel that link with us is the music that we curate behind those images. And then we launched Cityscapes and we launched Stargaze. So we're launching a lot of new channels and all of our clients are taking them. Nothing else works really well because it's getting FAST. You put it at home, you cook, you do a bit of work. And so that works well. And then the second thing that we did, which is -- this is why it's so incredible is it's the good old Galaxy. It's the good old audio channels you have on your TV and we're able to convince the TV manufacturers and the FAST channels of people that audio is an amazing product, radio on TV. And just with Samsung, this month, we launched 4 new audio channels, and that's very exciting, but that's what people like. We launched a new soft hit. We launched Jukebox Oldies, which in 3 weeks became a #6 channel, so Jukebox Oldies. But we knew that on the TV side, on the cable side, our top 3 channel is spa, Nature and Jukebox Oldies. So just the people want to relax. So we're launching new channels. We're launching more audio. We are by far the #1 broadcaster with Samsung and LG. We want to be stronger. We're going to be launching on Roku. We want to launch on Pluto. So that's one. Number two is our partners are growing internationally. Our friends at Roku are going to Mexico, going in Europe. Pluto is also growing. Number three, we're finally able to monetize Mexico, Brazil and Europe. So they're getting better and better. They used to be only Canada, U.S. and the rest will be very low numbers. So better monetization, more clients. And then you also have the cable operators like Comcast and Canada Bell and all the cable operators launching FAST channels. So really, it's -- the whole segment is just growing fast, which I think is a play on words, the FAST are growing fast. And we're lucky that our product has a unique fit. And the more audio channels we have, the more we have the bundle, the more people see us as a destination. So that's why we get excited when we launch more audio channel. So I know -- sorry, that's a long answer, Jerome, for -- but again, we see the growth on this market, and you can look at the ones for the next 3 to 5 years. The more people cut the cable and they switch over to the Amazon, the Roku, the Pluto and the LG, the Samsung and their platforms get better, the more that all of us will make more money and better monetization.
Jerome Dubreuil: Yes. No, it makes sense. Don't mind the long answer for that question. I have a follow-up. In the commentary you made on the press release, it sounds like you're kind of switching gears in terms of your retail media efforts, at least on what you're doing, maybe playing a bit more on the pricing aspect of it, which we haven't seen so much in the last little while. I'm wondering if there's been a particular milestone that allows you to now be considering this, maybe you have better data? Or am I reading that wrong?
Eric Boyko: No, no. It's the retail media, once we get that segment and we get more partners involved, like I was mentioning in the U.S., we can have discussions with our friends at iHeart, our friends at XM Sirius, Audio ads, Spotify. We're working together. So those are the type of partners we want to get involved in retail media to enhance our leverage. So no, we see good growth. And like I said, I talked about the inventory before to one of your partners. We have a lot of inventory to sell. The retailers are becoming more and more open to the type of ads. When you do non-endemic, at the start, they were like nonendemic, but there's a big market in nonendemic ads in stores. Not everybody was used to it. They're getting more open. At the end of the day, the retailers, the brick-and-mortar are competing with Amazon. And Amazon, if they sell Pampers, Amazon has a lot of ads and monetization to do on all over the website. So the retailers have to compete and one day, they're going to be as aggressive as Amazon is to get the best pricing for their customers. So no, our focus is there, not only on the pricing, but on really the fill rate and get that. So yes, the answer, Jerome, is we're very confident for that growth vector.
Operator: Next question will be from Scott Fletcher at CIBC.
Scott Fletcher: I wanted to ask on M&A. You mentioned in the press release that you're -- with leverage coming down and the additional capacity that you'll look to more M&A. Can you maybe give us an idea of what the targets might look like? Like we've seen you do some smaller tuck-ins and those are all understandable. But if you're going to -- if you are going to get more aggressive, what sort of categories are you looking at for acquisitions?
Eric Boyko: Yes. So I think I must say that I've been saying for the last 8 quarters, the market is tough, the private equity team, our customers are still -- even if interest rates went up and the market is tougher, they're still at a very high multiple. But now I must say, finally, we're getting into the zone where everybody is more open, good discussion. So we have about 2 or 3 good M&As in the pipeline. So I think we're excited that's something very core M&A, very in the broadcasting unit, exactly in our sweet spot of streaming and fast and broadcasting. So I think we're excited that we might have a few good deals coming in. Always careful about saying the size of the deal or deals that are more tuck-ins bigger than just $2 million or $3 million. So we have a couple of good deals that are double digits or even in the -- how do you say that $10 million plus and even some deals we're looking at over $100 million. So we're working hard. The M&A team is fully engaged. So we'll see. We'll see. You know the way deals come, they fall or they don't fall. So we'll see in the next couple of weeks or months.
Scott Fletcher: Okay. Great. And then just a couple of follow-ups on the retail media side. You mentioned that when the radio team is selling retail media ads, they're getting recorded in the [indiscernible] to pay for the segment to break down, if they sell a retail media ad, it ends up in the radio segment on your financials.
Eric Boyko: And that's why radio sales are up because for sure, they start -- last year was 0. So if they're up 2%, it gives them 2%. We just wanted to reflect who is the sell unit of that item. So that's why you'll see more and more of retail media going under the radio unit. And our goal with that, when we spoke to our investors and our partners, we were like -- and they said, no, the radio team, if we're able to show that radio is able to have positive organic sales for the next few quarters and years, then our goal is for you, Scott, to rerate the radio unit and see radio as a growth vector. So I know what I'm telling you, it seems like I'm having too much fun, but I think radio could become a growth vectors that all those digital sales and retail media sales were very effective. Radio is the highly effective at selling locally and speaking to smaller locations that don't have a CMO. So we're really able to guide our customers to work with us to become their CMO or their agency. So -- and again, I don't want to say this with our peers that are not focusing on radio in Canada, for us, we have a more -- much better market, more presence and more loyalty. So they're open to trying new products with us.
Scott Fletcher: Okay. And then just one more one on the partnerships there. You spoke about how you think about the margin contribution on those, would those be at a sort of lower margin profile on partnership sales. It seems there's another sort of sharing the...
Eric Boyko: It's very surprising how -- as you know, in Canada, we have a deal for national sales. We have a deal with Bell. We have a cooperation there. So Bell and us, we sell national ads together. And the rate that we have is very, very market-driven, very fair and a higher margin. If we're able to do the same thing in the U.S. and do national ads with partners, it's better margin because it costs less than paying salesperson salary commission. So you make more money with partnerships than you make for them and I don't have to be careful, but with the cost of a sales team.
Operator: [Operator Instructions] Next, we will hear from Tim Casey at BMO.
Tim Casey: I just dropped off the call, so I apologize if you answered this already, Eric. But when we look at the reported revenue in the quarter, can you -- are you able to unpack how much of that was -- what was the growth rate of traditional airtime sales? Like are you outpacing your peers on the traditional business as well? Or is the reported number more a reflection of what you're doing on the retail media side?
Eric Boyko: Yes. You know what, it's a very good question, Tim. We are by far -- it is -- we get every radio company in the big markets. We share our numbers. We give it an accounting firm, and we're able to see what the market is doing. So yes, and so for Halifax, Ottawa, for the big cities, and we are beating by far the markets. It is -- what our team is doing is we're really gaining a lot of market share. So radio, believe it or not, this year to last year, we were flat but the market was down. I got to be careful, but was much, much lower. So we're very happy with that. And after that, we get all the upside from digital sales and retail media. So our team is doing great compared to the market. And look, I don't want to put names, but there's another person that gave the numbers in January for the radio division. And when we saw that, we were like the group was minus 14%. So a big gap between minus 14% and plus 4%. I agree with you, Tim.  And also, Tim, we're going to make sure we're below 2. That's one of our focus when we met.
Operator: And at this time, Mr. Boyko, we have no other questions registered. Please proceed.
Eric Boyko: All right. On behalf of the Stingray team and also from our radio team, thank you very much for joining us on this conference call. We look forward to speaking with you again following the release of our fourth quarter and also our year-end. So excited also to have some great announcement for our investors, and thank you for the confidence in Stingray and our management team.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.